Operator: Good afternoon, and thank you for attending todayâs MP Materials Second Quarter 2022 Earnings Conference Call. My name is Austin, and Iâll be your moderator for today.  I would now like to pass the conference over to your host, Martin Sheehan with MP Materials. Martin, please proceed.
Martin Sheehan: Thank you, operator, and good day, everyone. Welcome to MP Materials' second quarter 2022 earnings call. With me today from MP Materials are Jim Litinsky, Founder, Chairman and Chief Executive Officer; Michael Rosenthal, Founder and Chief Operating Officer; and Ryan Corbett, Chief Financial Officer. Before we get to our opening remarks, as a reminder, todayâs discussion will contain forward-looking statements relating to future events and expectations that are subject to various assumptions and caveats. Factors that may cause the companyâs actual results to differ materially from these statements are included in todayâs presentation, earnings release, and in our SEC filings.  In addition, we have included some non-GAAP financial measures in this presentation, reconciliations to the most directly comparable GAAP financial measures can be found in the appendix to today's presentation and earnings release. Any reference in our discussion today to EBITDA means adjusted EBITDA. Finally, the earnings release and slide presentation are available on our website.  With that, I'll turn the call over to Jim. Jim? 
Jim Litinsky: Thanks, Martin. And thank you all for joining us this afternoon. Let me start by giving you a quick rundown on our plan for today's call. First, I will open with the highlights of the quarter, followed by Ryan's review of our financials and KPIs, and then I'll return to update you on stages 2 and 3 progress and address some highlights from our just published and inaugural ESG report before opening the call up to Q&A.  So let's get started on Slide 4. Our second quarter results continue to demonstrate solid execution. In the quarter, we produced 10,300 metric tons and sold 10,000 metric tons of REO in concentrate. Both figures are consistent with last year's second quarter. Given the significant increase in construction on site, investment in maximizing the long-term value of the mineral resource, as well as planning and coordinating for Stage 2 commissioning, we are really pleased with the team's ability to focus and deliver on hitting world class production and shipping targets. Similar to last quarter, we executed well throughout the quarter, maintaining cost discipline and benefited from record realized prices. This resulted in another quarter of solid financial performance. Revenue was up 96% year-over-year to $143.6 million. Adjusted EBITDA was up 137% to $110 million.  Our adjusted EBITDA margin expanded 13 points to 77% and we earned $0.43 per share in adjusted diluted EPS, an increase of 139%. This strong financial performance brought our year-to-date normalized Stage 1 free cash flow to approximately $227.7 million. Ryan will provide additional detail on the KPIs that drove this strong performance in just a minute. But first with regards to stages 2 and 3, as we've previously highlighted, our primary focus continues to be on completing construction of our Stage 2 optimization project this year, which remains on track.  Construction pace continue to ramp and we expect to maintain the current pace into the fourth quarter. We remain on target for a mechanical completion by year end and we've begun pre-commissioning, which includes checkouts and initial performance testing on both legacy and new circuits in preparation for commissioning.  In addition, our Stage 3 facility is going vertical and forward, and we remain heavily focused on key hires, procurement of long lead equipment and other items tracking for a late 2023 start of product for magnetic alloy.  I'll provide a few more details on stages 2 and 3 in just a minute, but first let me turn the call over to Ryan to run through our results in a bit more detail. Ryan? 
Ryan Corbett : Thanks, Jim. And Jim just highlighted, Q2 was another strong quarter operationally and financially, and we delivered it even as construction activity and mountain pass approached its peak. As I go through the details, I'll point out how the numbers reflect both continued efforts to optimize production and step up in Stage 2 related work.  On Slide 6, and starting with the bottom left graph, as Jim mentioned, production volumes remain very solid in line with last year's output at 10,300 metric tons. There are a few considerations in comparing period to period thatâll remind everybody about.  As we've stated in prior quarters, while we remain focused on Stage 2 pre-commissioning, we were always working to optimize our Stage 1 reagent schemes, as well as looking to understand bottlenecks and trade-offs, to maximize REO production over time. A major advantage of our orebody is consistency and neurology, but we continue to optimize our feed grade and composition to maximize the life of mine, which can drive some lumpiness quarter-to-quarter, but supports production growth over the medium and long term.  This is particularly true this year, as we incorporate changes afforded by the new and larger mine plan and lower cut-off grade as discussed on our fourth quarter call. Also recall that we typically take at least a one-week shutdown for preventative plant maintenance in the second and fourth quarters. So we generally have lower output in those quarters, which we saw here in Q2 sequentially. As we mentioned, a major focus for the remainder of the year is completing the transition to Stage 2 operations, particularly in the concentrate dry and roasting areas that tied directly into our existing location and concentrate filtration circuits.  As we prepare for Stage 2 commissioning and our second semi-annual outage in the fourth quarter, that may include additional stage two tie-ins. We expect Q3 production to look similar to the first quarter of this year. We currently project that our fourth quarter outage may be slightly longer than the prior-years.  Moving clockwise on the chart to sales volumes, our logistics team continues to manage well through a highly dynamic shipping environment, allowing us to continue to shift the vast majority of our production each quarter.  As you see on the top right, pricing remains strong in the quarter up about 90% year-over-year and 1% quarter-over-quarter. On a sequential basis recall that NDPR pricing at a recent high in the early March timeframe. And given the slight lag in our realized prices versus market agencies, some of that strong March pricing was realized in our Q2 results.  NDPR pricing has recently pulled back to below $120 per kilogram, and given our realized pricing is highly correlated with NDPR pricing. We expect to see a decline in our Q3 realized pricing versus Q2 in the mid-teens percentage points if current prices hold. Although, it will remain nicely ahead of last year's Q3.  Lastly, on the bottom right graph of the slide, core stage one production costs despite inflationary pressure remain roughly in the $1,300 to $1,400 per metric ton range. Keep in mind, we are usually on a higher end of this range during quarters with a maintenance shutdown. In the second quarter, excluding the growth in Stage 2 advanced recommissioning related costs, year-over-year core production costs were roughly flat at just over $1,400 per metric ton. The higher year-over-year Stage 2 related costs were mostly associated with impacts from the restart of our combined heat and power plant early this year, as well as continued hiring of the operation and maintenance of future circuits.  As you'll recall from our last earnings call, the heat and power plants must run at a certain minimum power output for operational and permit compliance. And as such is currently generating power in excess of Stage 1 needs, which we are primarily dissipating in our load banks. The cost of this temporary inefficiency represents just over half of the $350 per metric ton impact in the quarter, and we'll of course continue for the next couple of quarters as we commission and scale Stage 2 operation.  The Stage 2 related costs impacting our overall production costs went from about $290 to $350 per metric ton sequentially, mainly due to lower quarterly shipping volumes in the denominator. And of course, given our focus on getting to Stage 2 commissioning, we will ramp our hiring in the back half of the year.  Summarizing, our results on Slide7, you can see that on a year-over-year basis, revenue was up 96%, adjusted EBITDA up 137%, diluted adjusted EPS up 139% and EBITDA margins increased 13 percentage points, all primarily driven by higher realized pricing and with regards to our profitability metrics, cost controls and production efficiencies, outweighing inflationary pressures. Quarter-over-quarter comparisons for all four metrics were primarily impacted by the lower shipments in the quarter versus Q1. Moving to Slide 8, year-to-date normalized Stage 1 free cash flow grew to $227.7 million through the end of June, driven by higher operating cash flows generated from improved profitability. Net capital expenditures totaled $117.5 million year-to-date with another approximately $32 million of CapEx related payables on the balance sheet at the end of the quarter. As we talked about earlier this year, CapEx will be back-loaded ramping as the year progresses, primarily related to our three key investments. First, completion of the light rear portion of the Stage 2 construction and related investments and mountain paths. Second, are Fort Worth magnetics facility and lastly initial investments and heavy separations and recycling a Mountain Pass. So while Stage 2 strong cash flow has funded our investments to-date this year, we would expect to see the impact of the higher CapEx spend on free cash flow in the back half of the year. But we will only need to draw modestly on our fortress balance sheet to absorb this rampant spend. Regarding the balance sheet, we took advantage of the recent rise in treasury rates to invest a portion of our cash balance into higher yielding, short duration U.S. government backed securities in the quarter. As such, we closed the quarter with approximately $600 million of short-term investments in addition to $654 million of cash and cash equivalent for a total balance of $1.26 billion of cash equivalents and short-term investments.  You will see the impact of this move from cash into short-term investments on the cash flow statement, when we file our 10-Q. In summary, another strong quarter across the board for the company's operations. Production, cost control and demand for our product continue to highlight the significant early success of our three stage strategy, which gives us further confidence in our ability to execute on stages 2 and 3. With that, I'll turn it back to Jim. Jim?
Jim Litinsky: Thanks, Ryan. Let's turn to Slide 10 to discuss our progress on downstream expansion in the quarter. Here's a good shot of our concentrate dryer and consignor 2 of the major stage two optimization projects at Mountain Pass. We mentioned last quarter that construction had re-accelerated and we have now hit peak effort on site. We also mentioned adding a night shift. And as such, we now have craft labor, tank electricians, pipe fitters and iron workers on site nearly 20 hours a day, 6 days a week over two shifts. We expect to sustain this effort into the fourth quarter. In certain areas where construction is more advanced, our project team has already begun mechanical checkouts of construction and started identifying a punch list of items to complete the job. For the balance of the project, the remaining critical path items are largely related to piping, electrical and ancillary equipment installation. We do continue to work through isolated supply chain issues, but at this point, nearly all process equipment, tanks, pumps, steel, pipe, electrical wire and process instruments are on-site. Chips and other automation control equipment have proven the most unpredictable supply chain challenges, and we are working diligently to manage through those. The great news is that as of today, we don't see any impediments to starting performance testing in the fourth quarter, largely in process sequence, beginning with the concentrate dryer, calciner and lead circuit. This will be a very important first step in our recommissioning efforts.  And regarding the recommissioning of existing assets, we also made important progress on a number of fronts in the second quarter. we completed upgrades to our NdPr separation facility, completed work on parts of our impurity removal and iron removal processes, continued upgrades to process automation, hardware and software, completed work on part of our brine recovery and treatment facilities and recommissioned our upgraded brine concentrator facility, which is a critical precursor to successfully operated our salt crystallizer and maintaining site-wide water balance. We also continued front-end engineering of our heavy rare separation and finishing circuits and began key procurement activities. We also advanced our integrated magnet recycling plans to provide the most comprehensive and efficient recycling capability for various end of life and process waste across our 2 sites. Many other optimization projects are underway, and we are excited that they are also on pace to be complete to support Stage 2 commissioning and operations. Moving to Stage 3 on Slide 11. It's early but we are off to a great start. If you will recall last quarter, we showed a picture with the initial grading of the site underway. You can see in this updated picture that concrete slab-on-grade is port, and we started going vertical with the laws. So most of the foundations are completed as our underground utilities. We have also established a supply base for all our major process equipment and have placed the orders for key long lead manufacturing equipment to support the start of alloy production. Importantly, we continue to grow a talented team with a focus on project execution and process and product engineering. Moving on to Slide 12. I just wanted to briefly touch on our inaugural ESG report, which we published a week or so ago. You can find it on our website under the Sustainability heading or in the Investor section under Resources. There are some great highlights listed on the slide, although I won't go through at all.  The most important things to know are; One, our mission will create a western supply of sustainably sourced raw materials that are critical to electrifying the world. Two, we operate the most environmentally responsible rare earth production site in the world, a significant competitive advantage for us going forward. And three, we know that it is our people that drive our success. So we remain very focused on hiring and developing a diverse and talented workforce. We view our owner-operator culture as another key competitive advantage for us. And we continue to grow and add new talent across our Mountain Pass, Las Vegas and Fort Worth locations, adding nearly 50 people in the second quarter and bringing our total head count to roughly $450. So in wrapping up, I wanted to highlight that in early July, we reached our 5-year anniversary as a company. I realized to many of you that we've only been a public company for about 20 months. But the original formation of the company by Michael and myself dates back to 2017. Thanks to the MP team, Mountain Pass is now producing more annual REO content than it ever has in its 70-year history. And therefore, that means that the United States of America has never before produced as much rare of content domestically to highlight and reward the incredible efforts of the team and to show our commitment to our owner-operator culture, in July, we awarded all nonexecutive employees a restricted stock grant. So not only is the U.S. capability in our industry stronger than it has ever been, but we are continuing to build upon our culture of shared success across all members of our team.  MP is already a remarkable success story over the past 5 years, but our team operates with the mindset that MP is an iconic American company just getting started on its journey. I remain incredibly optimistic about our future. With that, let's open it up for questions.
Operator:  Our first question is with Matt Summerville from D.A. Davidson.
Matt Summerville: First, Jim on the last call, you gave a little bit of an overview on what you thought was driving NdPr pricing at that point kind of heading south off of the late February, early March high. And I was wondering if you could kind of do a similar market assessment on what you think is driving more recent pricing actions of 120 a kilogram. And then I have a follow-up.
Jim Litinsky: Sure. So Matt, well, as I said last time, and you'll always hear me say every time, commodities are commodities and no one really knows and they're driven by supply and demand, and it's hard to predict. What I would say is this is ultimately a market. And in the last few months, the global economy has really obviously deteriorated post Russia. There's been a lot of challenges. We've seen across the commodity landscape, prices have come down. And so certainly, any commodity is not going to be immune from that. As we think about our commodity, which -- a large growth case is, of course, going into the auto supply chain. Actually, auto sales in the U.S. are really good sort of relative to where they were prior to the price decline beginning because there have been such shortages and backlogs. And frankly, employment is still great. So even as we -- it feels like -- and it is, we -- my belief is we're in a recession, it started throughout -- beginning of the year on a real basis. Employment is still strong. So that means auto sales continue strong. And so we don't see that here. I would say on the Chinese side, it's always hard to read the tea leaves in what's going on over there. But certainly, with all of the lockdowns, you've seen sort of a setback in auto sales there. And so there's nothing that we see with respect to our market, in particular other than sort of that kind of the dramatic geopolitical landscape that is impacting everything. What I would say and just stepping back, Matt, to give further context because I think it's important to view it all from the landscape of at least yes for my macro view. If you recall, early last year when -- in early '21 when people were talking about transitory inflation, I think I was one of the early people to come out and say, I don't think it's so transitory. The better analogy is thinking about the reverberating supply chain shocks of the 1973 air boil embargo and what that did to the economy. And then, I think as the year unfolded, people realized it wasn't transitory. I still think that, that analogy holds. I think that we've hit this period where we've now -- the economy has now taken a hit because of all the factors that we don't need to rehash. And so commodities prices have pulled in, and I think there's a bit of sort of celebration out there, if you will.  But if you go back to that '70s analogy, and again, there's no such thing as a perfect analogy, but there was a period of a year or so in the mid-70s where things pull back, growth slowed, but then actually because the supply challenges weren't solved, they accelerated higher even again into the late '70s. And I actually think we're in sort of that period where we've had this pullback. So all commodities have kind of pulled in. But whether the next 3, 6, 9 months or challenging or very challenging. As we look out a year or 2 or beyond when eventually markets pick back up, particularly with all the investment going into electrification, I think we're going to see a reacceleration pretty much irrespective of what the Fed does, barring some Volcker like true dramatic spike. But again, these are supply issues. And so you can't deal with supply issues just by short-term cutting demand because, ultimately, economies need to grow on a real basis over a long period of time. Anyway, give your apology -- and if I didn't -- just to end that, I think it goes without saying that, of course, we sell everything we can make we certainly don't, in any way, see impact. So we remain very bullish that everything that we've said before about the rise of electrification and the demand for NdPr, we're very bullish. So go ahead. What's the follow-up?
Matt Summerville: Got it. Yes, I was just going to ask if you could give a little more help on how the unabsorbed production costs for Stage 2 will ramp in the back half? Because it sounds like you have somewhat of a milestone perhaps coming in the fourth quarter when you start to test some of the equipment, some of the facilities. So relative to that $350 million, how much chunkier if you will, will we get from there in the back half of the year.
Ryan Corbett : Yes. Matt, it's Ryan. I can take that. I'd say if you look at the $350 million sequentially versus the $290 million, if you do the math on the product that was sold through versus those numbers, the total dollars didn't actually change that meaningfully. The ramp on a per unit basis is to your point, youâre getting the descaling from a lower sequential shipment. I'd say if you look at those dollars and how those may change over the course of the year, as we talked about in the prepared remarks, about half of that impact is the inefficiency of the combined heat and power plant that will certainly continue. And then the other half is primarily related to labor and other associated costs that I do think will start to scale a little bit in Q3 and a bit more in . We don't have specific guidance on that, but I think it is fair to assume, obviously, taking into account the ups and downs of sequential production if you just look at it on a dollars basis, certainly in Q4 as we start to meaningfully ramp hiring, you will start to see a bit more of an impact. I'd also flag though that based on the type of costs we're incurring, those costs can find themselves in capitalized project costs as well. So it's not like all of our hiring is going to make its way into this. But I would be prepared for a little bit of a step up in the back half of the year. And then the one other thing I'd flag overall on this point certainly is, we've made very clear as we ramp that, this will become a transition year as we move into producing our Stage 2 products. And so you can expect, certainly, to your point, I think, the impacts of that on the financial statements as we begin to ramp. Obviously, we're extremely excited about the progress we've been making. But the reality is as we transition, you will start to see that.
Operator: Our next question is with Robin Fiedler from BMO.
Robin Fiedler: Nice quarter. I have a question on the inflation Reform Act. In the proposed build, there is section on potential production tax credit about 10% for critical material processing, specifically in your case. But I'm curious to know if you have any insight into that and how that might look like for you guys specifically? And if it is passed, would this be applied to each stage of your operations or maybe just Stage 2, for example? Any kind of unique insight you might have into that would be -- would be great.
Jim Litinsky: Sure. So Robin, well, big picture, just to lay the background. The bill is -- of course, it's not passed. And I've heard there was a headline that they're going to a vote Saturday, who knows. But from what we see from the build, obviously, it goes without saying that it's -- it will accelerate electrification, EVs, wind turbines electric pumps, it's really fantastic for our supply chain. And of course, it's just sort of a more positive fuel to the fire of all the things that we've been talking about and the importance of everything that we've been doing. This has obviously been the mission that we've been on.  So when we think about all of the supply chain challenges that we've had and now we've said repeatedly, government and industry wants us to get more stuff onshore. This -- both this bill and the chips act are all great and positive steps forward. So really great. I mean I think it's fair to say that this -- the bill kind of came out there, and it was somewhat of a surprise to everyone because it was just people weren't expecting. And if we look at the content as what's in the bill today, it's fantastic for us. And we do -- yes, to answer your question directly on the production tax credit, we believe that our operation will be eligible for that. It's certainly -- we have to read the fine print and what's passed and make sure our tax team is working closely on which aspects of the stages of our operation specifically apply, if you will. And -- but I would -- I think it's fair to say from initial reading, it should be very good for us. And so we're happy to see it. And it will be -- it is something that will be a material benefit to us as we see it as written. Of course, anything can happen and certainly, it hasn't passed. But is pretty great.
Robin Fiedler: Understood. And maybe just a quick follow-up on that and somewhat related. Yes, go ahead. Go ahead, finish your thought. Go ahead.
Jim Litinsky: No, I was just going to say, for those who don't know maybe not, but it's a tax credit has written. So it's 10%, whatever that cost means is, it would mean 10%, and that's actually a credit you would get. So it could be -- this could be material dollars to us, which is great. Sorry, go ahead, definitely.
Robin Fiedler: And I just say this has passed, and obviously, I agree with you, certainly helped to accelerate all these end markets that you would benefit from. And earlier this week, we saw lines decide to upsize their capacity plans ahead of even what they were originally planning. Just curious, with everything going on, like have you guys thought about potentially changing plans on the upstream side or is it still likely more of a focus for you maybe only after Stage 2 and 3 are completed?
Jim Litinsky: Well, as you know, I've always said that my belief is that the quickest, lowest risk, highest return additional Western supply would be expansion at Mountain Pass. And I feel very strongly about that. I would tell you that our near-term priority is getting Stages 2 and 3 executed, right? We're obviously just beginning -- about to begin commissioning. And so we want to make sure that all hands are on deck to make sure that we get what we have in the coming months done right.  So that's the primary focus. But over time, it's certainly adding additional capacity is a very high return endeavor for us. I would -- I can't really address their specific announcement. It was hard to see in that announcement. Obviously, you'd have to ask them about their own capacity expansion, how much of that was really kind of catch-up CapEx or other cost overruns versus sort of prior numbers. And again, that's more of them. But I can tell you that the takeaway I had from that release from what we see that I think it's just a really, really powerful thing to reiterate is that supply in this space requires scale. And particularly when you have a growth market like this, there'll be a lot of what I'll call juniors out there doing capital formation, there'll be a lot of people raising capital as they should. I mean, it's -- we need more supply. And so the reality is, though, is this is -- look at their numbers, look at our numbers, the amount of capital invested. This is a scale business that requires a lot of investment and time and you don't you take years. And so I think that it just is another data point to remind everyone that we're really well positioned and to sort of take advantage of this growth cycle. And to the extent that there are parties out there that learn the hard way what I'm saying, I think that we'll be in a good position to, frankly, help those parties and get that supply online. And then lastly, I would say, and I think that this is an important thing to highlight with respect to their announcement is I did notice that one thing, and I only would reference it because I think it's an important thing to mention about MP is that with respect to their announcement, one of the things that was a big component of it was bringing their environmental standards up to speed, so to speak, with something closer to the dry tailings process we have at Mount Pass. And so we have repeatedly to discuss how much investment and how important that was that we are the most sustainable producer in the space. And so frankly, it was great to see them make some of those announced and hopefully make some of those investments too because we all want to make sure that production in this space is environmentally friendly as it can be. But I do also think it again highlights how far ahead we are and we're proud of that.
Operator: Our next question is from George Gianarikas from Canaccord Genuity.
George Gianarikas: Great results. So I'd just like to ask a little bit about several announcements that we've seen from some of the major traditional auto OEMs regarding battery and EV materials. I'm sure you've seen them from recently from Ford GM. Obviously, GM is already a partner, but I'd like to just kind of pick your bank on what's happening with you guys and what you kind of see over the next 12, 24 months, call it, in terms of additional announcements, additional deals just because the scurry to secure material seems to be at an apex. And I'm wondering what that means for MP.
Jim Litinsky: Yes. Well, let me give you the takeaway punch line, and then I'll give you some detail, but I think the best way to describe it, we are not demand constrained. We are very supply constrained in this space. There is no shortage of -- there's no shortage of OEMs that recognize that all aspects of the critical material supply chain, obviously, with the announcements you just mentioned are important. But in particular, our space, given the unique attributes, frankly, of our industry as well as the net acrobats of Mount Pass and some of the benefits that we can provide with respect to certainty in rule of law jurisdiction and environmental standards. And so -- and I would also add -- it's not just auto, right? It's wind, it's other -- there are a number of verticals for electrification that this will be relevant for. And as auto scrambles for materials, that, of course, means other areas need to scramble as well. And so that's a long-winded way of saying the conversations continue and have increased. I wouldn't really address any specific conversations other than to say that we really believe that we have something very valuable and strategic and our -- we also want to make sure that the deals -- remember that these deals take whether -- I'm not going to address a specific deal, but these deals that we might do, if you will, or have done are long-term deals. And it's really important that we get the economics right to maximize return for shareholders. And it's really important that we also, as an organization, do deals and take on the kind of partners that we think are going to be great long-term partners for our business. And so we are spending -- I mean that's a significant chunk of management time thinking through all the iterations of the deals and JV type opportunities that we have. And I think it's fair to say if you this is only really accelerating because we know that where penetration is in electrification, and we know where it's going. And of course, if the inflation reduction at passes, it will accelerate even again. And so we're in a great spot, and we just need to execute.
George Gianarikas: May I ask a follow-up to that. Just when you think about future deal structuring, is there a potential for demand just for your rare earth material? Or do you plan on structuring everything going forward from a magnet perspective? Or does it not matter what are the most economic returns?
Jim Litinsky: Well, the answer is there's certainly demand for both. You may have heard me historically say that I think long term, our magnetics business could -- will be larger than the underlying current expected output of our ore body today, right, because we have the ability to take advantage of the opportunity to really grow in magnetics. We have the ability to grow horizontally and take other feed or who knows what unfolds in the future as far as more material. But to answer your question, we certainly have opportunities on both 2 and 3. And I think you should expect us to be economic, and we're an owner operator culture, as you know, I'm the largest shareholder. And so we're thinking about this from a -- what is the most thoughtful way we can maximize long-term enterprise value for MP as well as make sure that we are doing things, again, just going back to what I said before, it's just so important is making sure that we can take on things that we can execute. And so we're always thinking about risk and reward and those trade-offs. And we won't be in a rush. We are -- I think when you look at these deals, you see that given what we have, we're years and billions ahead. So we just need to make sure that we frankly don't mess up that position. And the way we don't mess up that position is by being thoughtful about what the right long-term deals are and then making sure that we're a good partner to our partners.
Operator: Our next question is with Ben Kallo from Baird.
Ben Kallo: Just on pricing differential between what you think domestic production will be versus going through  if there is one. That's my first question.
Jim Litinsky: Ryan, do you want to take that?
Ryan Corbett : I assume, Ben, you're talking about magnet.
Ben Kallo: Anywhere along the process for Stage 2 or Stage 3, is if you'd expect to get a premium.
Ryan Corbett : Well, what -- obviously, with oxide, we sell a commodity is dominated by the Chinese supply chain and therefore, has been and will be for some period of time going forward priced as a China domestic product. I do think, though, what you're seeing and back to Jim's comments a moment ago about the required scale to really grow supply at China as you're seeing the scaled players outside of China gain scale, including us. And so over time, will that manifest in a different type of pricing scheme for our products is absolutely possible. It's something that we talk about and think about. But at the end of the day, right now, for the short term, this is priced on a China domestic basis. I think when you get to looking at magnets, it is not a commodity, and it's a lot harder to make any specific comment about pricing other than to say we've been very clear from the beginning about what our strategy is in the magnetic space, which is to build our capability as quickly as we can, get to scale, drive significant scale and come down the cost curve as quickly as we can. That's exactly what we've done at Mountain Pass on the oxide side, and that's exactly what we hope to do on the magnetic side, the reality is that day 1, our goal is not to try to come out and beat China on pricing. That's not realistic with a 1,000 metric ton facility, but that's also not necessarily what customers are looking for day 1. And so I think we have a great opportunity to partner with the right partners, as Jim just talked about and get to scale as quickly as possible to come down that cost curve. There are a lot of things that we are able to do as somewhat of a greenfield in the magnetic space as it relates to automation and other process technologies. And importantly, one thing that's underappreciated about our competitive advantage in the magnetic space is part of the reason the market is so liquid on the magnet side in China is they have the ability to deal with the waste that comes off of the process steps of magnet making due to their separation capabilities in country. We will not just have it in country, we'll have it integrated into the same company. And so I think that the competitive advantage we get by having Mountain Pass and our Stage 3 facility integrated, should not be underestimated and it's something that we intend to continue to leverage over time as we grow scale. So I know that hopefully, that addresses your question overall, Ben.
Ben Kallo: That's great. And I know, Jim, you said you're focused on Stage 2 and 3 before anything else. But are you doing work now on expansion at Mountain Pass?
Jim Litinsky: Well, sure. You should imagine that we are -- these are very long lead items, and you should imagine that we're thinking about long-term growth. For example, when if you look at our business about a year ago or a little over a year ago after we went public, having a magnetics business was something we said to the market was a 20 25-plus vision, if you will, and -- but we were working on it.  And then I think it's fair to say that you fast forward a year ahead and you see -- I mean even we're really I'm really proud of the team. I mean, what we've accomplished in the last year and change on the magnetics moving that forward is just extraordinary. It's because we just -- we continue to grow at just outstanding unit capital on that front. And obviously, we have tilt walls going up and a long-term deal with GM and a business that's really taking shape. And it's awesome and exciting to see. And I mean that's a long-winded way of saying that it's sort of hard to discuss 2 years ago kind of what that was. But if you fast forward 2 years, look at what we have today. And so we are looking at all sorts of ways to grow the business in earlier stages, mid-phases later stages. And I think we'll be able to do that for years to come. And so you should assume that we're thinking about all the things we can and just -- but again, we have to take it step by step and do the things. I mean you said we have to execute in the coming months on getting Stage 2 going. So we'll take this one step at a time.
Operator: Our next question is with Corrine Blanchard from Deutsche Bank.
Corinne Blanchard: Lots of my question have been answered, but I just add maybe 2. The first one on pricing. Spot price in China may be interested to give your view about the way you think it would continue over the next 6 to 12 months. And then the second question, can you just remind me what are the next big state for the Stage 3 for the textile facility?
Jim Litinsky: I'm sorry, what was the last part? You said the next big --
Corinne Blanchard: The next stage for the textile facility, the Stage 3 extension.
A âJim Litinsky: The next stage. Okay. Well, let me do the first part and then Iâll -- yes, next sure. So the â so on the first part, I covered some of the pricing of NdPr NPR earlier. But actually, one tiny thing that I just realized I didnât cover that I think is actually relevant is this is a seasonally weak period, the kind of some of the summer months in NdPr. So for what itâs worth, this is that.  But again, I would just remind you that it is a market, right? And weâve seen all global commodities pull back and I would just reiterate my comments about we never â whenever Iâm asked a question on pricing, I honestly, I have no clue in the very short term and then in the medium and long-term supply and demand are going to be the drivers. And from everything that we see. And then, of course, as we covered earlier on the Inflation Reduction Act or all the things that â or some of the OEM announcements and prepayments for commodities, from everything we see in the supply chain, whether itâs on the business side or on the government side, people are trying to accelerate this transition. And thereâs a realization that we donât have enough of this stuff, and itâs the easy thing about commodities is you can do the math and look at the supply and the demand, and you can make estimates about growth and then look at whatâs out there. And so I think that the supply-demand dynamic in our space is â thereâs really no other commodity. Iâd rather be in. I mean itâs really awesome, and weâre well positioned. And so â but as far as kind of the pullback from a few months ago to now, other than sort of the market and obviously, China was shut down for a while. Your guess is as good as mine on that front for short-term movement. As far as Stage 3, I think â and feel free to follow up if I missed sort of the intent of the question. But the next step so that really the â what weâre doing right now is weâre building the facility, and weâre getting all ordering and designing the process flow, getting all of the equipment and building the team. And the first step will be â obviously, weâll complete the facility. Weâll get the equipment ready for alloy production. And as weâve said, we expect late 2023, we will be selling alloy to GM. And then from there, we will continue to go down into magnets and we â our dealers will be making magnets for them in 2025. So that is â I think that was the steps â the question on the steps for Stage 3. Did I miss that? Or if you want to follow up.
Operator: Next question is with Lawson Winder from Bank of America.
Lawson Winder : Even on and thank you for the update. I just wanted to ask about the concentrate pricing discount. So the discount that you guys hit for your concentrate versus spot oxide prices, it appears to be trending pretty solidly lower. It looks like it was flat this quarter versus last quarter, but if I just look on a longer-term basis, clear trend downward. Now I suspect this reflects that the Chinese industry is much longer separation than it is concentrate, but I'd love to get your views on what you think is driving that and whether you think that could continue downward. And I mean, at some point, we get to situation where selling concentrated into China is actually a higher value-add and selling oxide given the 25% tariff.
Ryan Corbett : Lawson, it's Ryan. I can take that. Would I stay on the discount as we've talked a little bit about this before in terms of trying to triangulate the implied discount because of the way the market works in China, obviously, there is really a discrete market that we're selling into for separation facilities versus obviously, it tracks quite closely to the NdPr price. But there are some supply and demand nuances. And the way those tend to manifest is when NdPr pricing goes up, the discount implied tends to go down. and vice versa. And so obviously, you've seen the trend over the last couple of years, NdPr pricing has gone in one direction, and so our discount has gone in the other. To the extent the flip happens, you would see the flip side of that. In terms of your comment on oxide versus concentrate, what I would say there is that we continue to be very bullish on the opportunity to sell oxide outside of China. We've been very clear that, that will take some time as we transition. But I think just look at the actions of the other players in the market, don't just take our word for it. Clearly, with the capacity additions that you're seeing from other players in the space, there really is a significant amount of unfilled demand for our product outside of China, and that has always been the strategy for moving downstream into Stage 2. And then, of course, building up our own internal consumption on Stage 3. So that remains the focus.
Lawson Winder : And then maybe just a follow-up on that. Are you somehow able to kind of quantify what your expectation is in terms of how much of your product you'll be selling outside of China, maybe in year 1 or 2? Maybe it's a little too early, but I know you have been developing your own internal selling capability. Just wondering if you might have a little bit more clarity on that than you did maybe a few a couple of quarters ago.
Ryan Corbett : It is certainly safe to assume that we have a bit more clarity now than we did then. But at this point, we're not giving specific forward guidance. I'd say that the trends that we've been talking about broadly continue to accelerate. And you're starting to see not just certainly the supply additions on our commodity, but supply additions on the magnetic side, in areas outside of China. And so you can expect that, obviously, that's going to come with the requisite incremental demand. And so as Jim mentioned, we continue to try to be very methodical in how we approach these deals, certainly with our initial Fort Worth magnetic facility being sub-10% of our demand. We will, in the short term, have a significant amount of oxide to sell into the open market, and our goal is to sell as much of that outside of China as we can.
Operator: Our final question shall come from Abhishek Sinha from Northland.
Abhishek Sinha : So most of the question I've been answered. I just wanted one thing for your downstream business, other than GM, have you seen any other noticeable interest from any other parties that you could share with us?
Jim Litinsky: So well, as I kind of discussed and I'll just reiterate, we -- yes, I mean the amount of customers who -- I love -- I'll just use my favorite line, which is we're not demand constrained, we're supply constrained. There's a lot of interest from a lot of parties. It's not just the OEMs, it's OEMs, wind and a number of other use cases. You should imagine we're having conversations, but we're not going to name specific parties and when we have something specific, we'll obviously share it with everyone.
Abhishek Sinha : Sure. And then just a follow-up for the GM contract. So I know it just was about like late '23, you'll be selling alloy and then 2025, you'll have some magnets and stuff. So is there any time line constraints that you are contract bound by the GM? Or I mean, is there anything that could put a company in terms of time line constraints?
Jim Litinsky: Well, I don't want to discuss any specific terms of any specific deal. But -- so I couldn't go into that, but I think what you're asking is are we -- can we -- how quickly can we get this going, I think, is there some -- what are the risks, so I can kind of address it from both directions, if you will. And I would say that we are working as quickly as possible, frankly, for 2 years from -- at least 2 years, the biggest question we typically get from government and industry actors is how quickly can you get this all done, right, is people want this supply chain resort, it's strategic, economically, it's important national security wise. And so the ability to have a complete end-to-end mined in the United States of America, metallize it alloy it and turn it into a magnet having the full supply chain here is important to all of us. And so we've been working as quick as we can so we're trying to get that done as soon as possible. As far as issues where if something were to take longer? Is there some kind of issue with that, I mean I think that people are pretty well aware that there's all sorts of disruption in the world. There's supply chain challenges. And so -- but we're planning ahead for that. I mean, I think we -- if you kind of look at the progression of our Stage 2 and there were a number of items that created challenges throughout the way as I like to say, it's a nice fight. But the big thing, and I think that maybe this will sort of help remember that as we're building this out, one, we're certainly you would imagine that we're in constant contact with any major -- certainly GM, who's a publicly stated deal, but any major customer that we would ever have, we would be in constant contact with and make sure that we're fully transparent about our operation. But we do have -- the rare earth magnet supply chain is a  item, right? So it's not just industry that wants to help us down -- the downstream industry wants to help us get online as soon as possible, but the Department of Defense does as well. And so we try to utilize that when appropriate to get things that are having trouble. And certainly, as we look around, I think the world has -- some of these issues have really eased up, and I think we've done a good job again on navigating the stuff in our Stage 2. And we have lead time on Stage 3, and that work is ongoing today. And so hopefully, we've learned some lessons from the prior process to make this process easier. But of course, there'll be -- there are always new challenges, but we have our knives sharpened and ready, and we just keep moving forward to get it done.
Operator: That concludes today's Q&A. So I'd like to pass the conference back to the management team for any closing remarks.
Jim Litinsky: Yes. Well, thank you, everyone. We appreciate tonight, and we look forward to seeing you all soon. Have a great night.
Operator: That concludes today's call. Thank you for your participation. You may now disconnect your lines.